Operator: Greetings, ladies and gentlemen, this is the conference call operator for the IDT Corporation second quarter Earnings Call. (Operator Instructions) I would now turn the call over to the company, please began.
Jim Courter: Good afternoon. I am Jim Courter, CEO of IDT Corporation. I am here with Marc Oppenheimer, our COO; and Steve Brown, our CFO. We are here obviously to discuss IDT’s earnings during our second fiscal quarter ending January 31st. I want to thank you for joining us. Steve and I will begin by making some general observations on the quarter’s results, and then the three of us will be here to take your questions. Before we begin, I must obviously caution all those listeners today regarding any forward-looking statements that you may hear during the course of the conference call during both our prepared remarks and the Q&A period that follows the prepared remarks. We may make forward-looking statements either general or as you know specific in nature. These statements are subject to risks and uncertainties that may cause the actual results to differ materially from those which we anticipate. These risks and uncertainties include, but obviously are not limited to specific risks or uncertainties discussed in reports that we file with the SEC. We assume no obligation to update any forward-looking statements that we have made or may make or to update you on the factors that may cause actual results to differ materially from those that we forecast. Now, let’s get started. Our second quarter was a difficult one, and we are disappointed to be reporting a loss, particularly a loss of $60 million. Several things contributed to the loss. Some of them indicate problems in the underlying businesses we are working hard to correct, and others represent prudent, good, thoughtful investments that will herald more positive results in the future. I will briefly discuss the results from IDT Telecom and IDT Carmel, our litigation expenses, and then I will move on to the promise for the future represented by AMSO, our new American oil shale subsidiary, the IDT Internet Mobile Group, of which I have spoken to before, and our by American initiative, which is our newest initiative. Our largest business, IDT Telecom, is a good news/bad news story right now. You are all familiar with the bad news part of the story. The markets are extremely challenging and revenues continue to decline. Fraud in the industry still exists, creating a competitive disadvantage. The good news is that costs continued to decline. In comparison to the year ago period, costs declined faster, reducing Telecom’s operating loss consistently. Telecom management continues to work hard to right-size the network and modernize by fully integrating VoIP technology. Gross costs per minute were down 13.7% in the second quarter compared with the year ago, while revenue per minute fell only 8.5%, a spread of over 5%. We are also pleased that our wholesale business continues to meet expectations and to generate strong cash flow. IDT Carmel, our receivables management and collection business, also faces a difficult business environment as you know. The value of many debt instruments have been decimated since last summer. In a tough economy, where people can not pay even their mortgages, debt collection poses extraordinary challenges. As we disclosed, we took a $16 million write-down in the value of debt portfolios we own, equivalent to a 15% reduction in the carrying value of those assets. IDT Carmel of course monitors the performance of its portfolios every month, but month-to-month fluctuations are very normal. It takes several months of a portfolio falling off the performance curve so to speak before it’s clear that a recovery is not imminently likely. We hit that point in Q2, and we believe that the charges we took brought our carrying values back into line with what we will collect. Our future results will reflect the corrected value of those portfolios. We believe that this experience, although difficult, together with new senior management and IDT Carmel result – will result in a smaller, more efficient business unit. We do still expect IDT Carmel to add shareholder value in the years to come. Before discussing our new initiative, I want to point out that litigation expenses also really added significantly to our losses this quarter. Previously, we initiated several active cases that added roughly $15 million to our expenses during the quarter. We have never been shy about vigorously asserting our rights, and our legal team has often delivered value at the end of the day. Altice is just one example, and stand by for more. As we have said in the past, we believe in the value of our intellectual property and spend money protecting those rights in our business units that use them. These litigation costs represent a prudent investment, and we are confident that they won’t be manifested in the foreseeable future. Now, I would like to discuss several of our new initiatives, and some of our up and coming businesses. Everyone on this call knows that the price of oil recently surged above $100 a barrel. I think just yesterday, I read that it hit $107 a barrel. It’s critical that America become less dependent on foreign oil. We think that IDT will be at the forefront of this effort with our oil shale undertaking. During the quarter, IDT purchased a 75% stake in EGL Oil Shale with an initial investment of $3.5 million. Subsequently, we created a new division, the American Shale Oil company, and announced the strong professional management team with a history of developing breakthrough technologies. EGL Oil Shale holds one of only five research, development and demonstration leases issued by the Federal Bureau of Land Management to develop the technologies for in-ground extraction know as in-situ retorting of shale oil on public land. The other four leaseholders, each pursuing distinct technological approaches include Shell and Chevron. Our R&D leasehold consists of 160 acres of US Government land on Colorado’s western slopes, in the heart of the world’s most concentrated shale oil reserve. If we successfully demonstrate an environmentally acceptable and commercially viable technology, we will be granted access to commercialize our operations on an additional location almost 5,000 acre track. Reserves in portions of both tracks are estimated to exceed 2 million barrels of shale oil per acre. I want to stress that this investment is extremely speculative. Big oil has invested substantially in oil shale during the period of years in the past, but has not yet overcome key technological environmental hurdles. Moreover, the development lease is for 10 years with an available five year extension. We don’t expect to generate significant returns until commercialization begins and in the meantime could spend upwards of $50 million on our oil shale initiative. Nevertheless, we are deeply committed to oil shale commercialization both for our shareholders and our country. We are also convinced that unlocking the nation’s oil shale reserves is essential to America’s future. Regardless of your views on peak oil, there is widespread agreement that supply constraints and growing oil demand will continue to put upward pressure on oil prices for the foreseeable future. As prices rise, America will pay an increasingly steep price for our security perspective. Our country must soon take appropriate steps to curb our appetite for foreign oil. Conservation and renewable resources will play important roles in this effort, and will be developing our tremendous unconventional fuel resources, including oil shale. IDT is proud to be part of this effort, and we expect real success in the future. Now, for another cutting-edge venture, IDT Internet Mobile Group and in the innovations we have transformed modern communication such as peer-to-peer filing originated in Norway, and so did Zedge originate in Norway, IDT Mobile Internet community. In December 2006, we acquired 90% interest in Zedge.net. Zedge is a world-wide distribution platform and destination for free user-generated content for mobile devices. The Zedge site is one of the largest mobile content communities on the web. In January, Zedge reached a milestone of 7.35 million registered users, and it is distributing 26 million pieces of mobile content such as ringtones, wallpaper, and themes each and every month. This site is truly international, with members from 220 countries. Although this means that it will take longer to reach critical mass for monetization, Zedge plays in international market providing a tremendous upside potential. This is the way of the mobile future, and Zedge is leading that way. Zedge, and our new age publishing business, IDW Publishing comprises our rapidly growing Internet Mobile Group. IDW publishes and creates and licenses original IP, including graphic novel. For example, 30 Days of Night started as an IDT – IDW – excuse me – an IDW graphic novel, and the movie version topped the box office when it premiered in October past. IDW has also created popular graphic novels based on materials from the movie studios, spurred by revenue from 30 Days of Night, the movie, the IDT Internet Mobile Group’s revenue climbed to $2.5 million from $300,000 in Q2 ’07. Now, I will speak to another venture announced this quarter, our Made in the USA online retail initiative. A large majority of Americans say that they would prefer to buy goods made in United States of America and in fact are willing to pay a premium over comparable imported goods. But, in fact, they usually have no choice whatsoever. Big box retailers, you know all their names, focus singly and single-mindedly on price alone. They stock their shelves with the lowest priced goods available, and they focus their point-of-sale advertising on price, not on country of origin. It’s often not clear to consumers, which product if any in the store are manufactured in the United States. We believe that retail sites devoted to selling only goods made in United States will find a significant following. American manufacturers usually have compelling stories to tell. After all, they have to compete against and beat competitors with significantly lower labor costs than we find in the United States. If we can tell their story well and we believe we will, we will help them to reach a new customer base in the United States eager to spend American dollars for American products. We expect to launch the “Made in the USA” initiative in the fourth quarter of this fiscal year, and to focus initially on American made apparels. To wrap-up, IDT is a company in transition. For those of you who are long time investors, it’s been a frustrating time and I know that. I can’t tell you that we turned the corner or that next quarter we will have turned to profit. However, one thing is certain, a year from now, we will look much different than we look today and that look in my mind will be a very good one. We have some very exciting young businesses with great promise, and we continue to make progress restoring our pre-paid phone business to profitability. Now, I would like to turn the call over to Steve Brown.
Steve Brown: Thank you, Jim. I am glad to be back on the call. As Jim touched on, as a result of the ongoing changes in the telecommunications industry, IDT is in a metamorphic stage de-emphasizing some of our historical operations and investing in new businesses that if successful can greatly enhance long-term shareholder value. As a result, as I discuss our second quarter financial performance, I will try to highlight and distinguish between the businesses which we are seeking to harvest remaining value, low growth businesses, and our potential high growth businesses. First and foremost, our core telecommunications business, our US pre-paid calling card business continues to be adversely affected by the unfair practices of many of our competitors, which has led – resulting damage to the industry as we have discussed in the past several quarters. That said, revenues did increase slightly quarter-to-quarter mostly due to the inclusion of the Christmas holiday season this quarter. We continued our fight to clean-up the industry spending over $2 million this quarter on legal, lodging and related costs, with the hope that our pursuit will allow us to regain market share. But, unfortunately, the performance to-date has not been overly encouraging. Our Wholesale Telecommunications business continues to show positive indications that our gross profit from third-party exceeding our expectation, as our performance has been somewhat negatively impacted by the decline of our US calling card business. Our Telecom gross margins and free cash flow continued to benefit from another cost reduction program, which has resulted in significantly lower connectivity cost, underlying facility costs, and CapEx spending. Our Consumer Phone Service division, which we have been harvesting for almost two years now, continues to generate good cash flow despite the continued attrition of our customer base. So, net-net, overall, the IDT Telecom sequential performance remained relatively unchanged. But, there is optimism in the halls of 520 Broad Street, which is stemming from our maturation of some of our newer businesses and entrée into new exciting fields, which I will group into three categories: energy-related; receivables portfolio management/collection businesses, which is IDT Carmel; and our Internet businesses and initiatives, more specifically our Internet Mobile Group. IDT Energy, our ESCO business, continues to generate nice profits even though its quarter-to-quarter customer and meters growth rate has slowed down significantly. We are now considering further growth by expanding to other states to replicate what we have achieved in New York. We have identified some regions where we may be able to execute on our minimum risk model, but it is still too preliminary to discuss any specific opportunities at this time. Discussion of our debt recovery business, IDT Carmel is much more complicated. First and foremost, I must say the more we work this business and the more we learn about the industry, the more we are convinced that our investment in Carmel is building the foundation of a great business. That said, we have learned many painful lessons during the year. The cost of these lessons has been greatly exacerbated by the slowdown of the US economy. As a result, we have revised downward our anticipated collections from existing portfolios, which under GAAP requires us to impair our portfolio inventory assets. To explain how the impairment works, under the effective yield method, the carrying balance of our portfolio equals the present value of the remaining cash flow return or IRR calculated for the deal, when the portfolio was purchased. If at subsequent point of time, future collections are expected to be lower than originally anticipated, the new expected collections are discounted back using the original IRR and the result becomes the new carrying balance. The difference between the existing book balance and the new carrying balance is recorded as an impairment of the portfolio and charged as an expense to bad debt. Accordingly, IDT Carmel took an impairment of $16 million this quarter, which was applied against the portfolio inventor and recorded as bad debt expense. Going forward, we anticipate achieving our stated IRR on the reduced assets and we will continue to record revenues and profits on these assets in future quarters. In the interim, we have significantly slowed down our purchasing of new [book] portfolio as we work through the issues affecting this business. In addition, we have shored up our outsourcing department, and we have strengthened our departmental management team with seasoned industry experts. Despite the disappointing results this quarter as I mentioned previously, we are encouraged by what we have learned about this industry, and we are – we have committed ourselves to develop our collections infrastructure and platform to create a business model that will bring significant long-term shareholder value. Another exciting developing area is our portfolio of internet businesses. Among internet businesses that we are developing, our media opportunities, e-commerce businesses, IPTV, gaming software, and most excitingly and most filled down right now, we are greatly encouraged by the results of Zedge, our foray into creating an internet community based on providing platform for free content for mobile devices. Our Zedge.net site has had in terms of subscriber base growing in excess of 120,000 registrants per week, and is currently distributing at a rate of – in excess of 26 million pieces of mobile content a month. Granted right now, this business is costing IDT approximately $2 million per quarter in net loss, and has little revenue, but understanding the market dynamics of a vital growth internet business, this metrics have beaten our internal expectations every quarter. We are extremely excited by the potential market value this business can generate over the next few years. To breakdown the financial results of our capital division, the largest contributor to the EBITDA loss this quarter were, in no particular order, IDT Local Media, which was hurt by the Broadway shutdown this quarter in lost $1.8 million. The Internet Mobile Group that includes Zedge and our publishing company IDW, which lost $1.6 million this quarter. Our call center businesses lost $2.7 million this quarter, partly attributable to the shutdown for us on our Puerto Rico site, and our net of foreign ventures division which includes the Pick business, the Pick website, lost approximately $6 million that has been aggressively protecting intellectual property rights. I will not be surprised if some of you who own IDT think of IDT as a telecom stock. And so, I hope you take a second look, the growth of the enterprise value of our internet initiative is very exciting, and in addition, there are [engines], such as our publishing company IDW, which is already profitable, and starting to enter the promising business of licensing of intellectual properties of third parties. Back to [our rental] business, as well as the new energy initiative to convert oil shale reserves into usable energy that Jim talked about in detail earlier; once we start understanding the potential upside in IDT, of course. Add to that our networking capital, our real estate holdings, which we believe are valued in excess of $50 million over and above the underlying mortgages. The lawsuits which we’re spending, where we are the plaintiffs; the spectrum owned, under IDT spectrum and the other intellectual property that we own; once you come to understand there are many valuable assets in IDT. At this point I would like to turn the call over to Q&A.
Operator: (Operator Instructions). The first question comes from Ms. Donna Jaegers with Janco Partners.
Donna Jaegers - Janco Partners: Hi, I have got a long list of questions, so I'll just go ahead on them, thanks for taking my questions by the way. You had $7.6 million of expenses in other expenses. Can you talk a little about what that is?
Steve Brown: That's basically the net amount between how much our investments made in the market and how much either we sold at a loss or marking to market our investments.
Donna Jaegers - Janco Partners : And can you talk -- I know you guys have invested in hedge funds in the past. So, can you talk a little about your competition of the investment and what's in the marketable securities.
Steve Brown: I would say about $100 million left in investment. As you see on the balance sheet that are tied into the market, it is relative within the ballpark with last quarter. You should think for the most part there was a strong effort to move to mature our investments and things that were at last exposure to the weakness of the market. For the most part the $100 million, roughly $100 million that we have in long term investments have not been affected significantly -- those have slightly been impacted by the market in the last few months.
Donna Jaegers - Janco Partners: Okay. And the marketable securities, what's in there?
Steve Brown: Again the marketable securities is…
Donna Jaegers - Janco Partners: Is about $130 million or so?
Steve Brown: Correct. Right, its things that are easily liquidated, again with very little exposure to market risk.
Donna Jaegers - Janco Partners: In this market that's rare, so can you give us a little more detail as far as what sort of marketable securities you're holding?
Jim Courter: Hi, Donna. We've got a short duration portfolio of treasuries. We also have CDs with money center banks. The program that Steve talked about was an effort to remove ourselves and we've done this now over the last two quarters to remove ourselves from the exposure to the market and to make sure that we maintain liquidity. We don't have CDOs, we don't have mortgage banks. We don't have any of the exposure to the funky structures that or the auction rate swap. So we are looking at plain vanilla, which as we go forward you'll also see in a decreasing interest rate environment, less interest income but at least you get safety of principle.
Donna Jaegers - Janco Partners: Great, and I'll appreciate that. On the assumptions that you made on IDT Carmel for the bad debt to take the bad bet that right-off. Can you talk about what sort of internal rate of return you are assuming on that portfolio now? And how does the $60 million compared to what's the portfolio worth right now. Sort of just to put that in perspective?
Steve Brown: Well, the portfolio on the balance sheet is at $90 million, that's after the write-down. The IRR is a blended IRR, because obvious there are a lot of portfolios, a substantial part of that asset came from the forward flow that we invested in. At the point where we already had enough experience and working that forward probably thought we won’t effectively get -- of course we got a rate. So while the general goal of Carmel certainly going forward is to get an IRR in the low twenties. The blended IRR for the existing portfolio is in the low teens.
Donna Jaegers - Janco Partners: Okay. And then on the lawsuits, I know your legal spending topped up a lot this quarter. TyCo is coming up I think that lawsuit is scheduled for April 8th or April of '08. Can you talk a little; is there anything that you can say to update us on that?
Jim Courter: In litigation, you really talked about litigation for the reason mentioned, I don't know what the outcome is going to be; that also depends on the discretion of trier a fact and the trial law. But, generally speaking I can say that and I've spent sometime with our litigation team, I've spent sometime with our outside counsel on TyCo and other non-intellectual property pieces of litigation where we are the plaintiffs. We are very -- I can say we’re enthusiastic, very robustly enthusiastic that in this calendar year there is going to be a material cash windfall for IDT, but going on into anymore specifics I think would not be inappropriate.
Donna Jaegers - Janco Partners: Okay.
Jim Courter: And just, I want to just amend that. I was startled a couple of times this week when I was getting briefed as to where we stand on a couple of pieces of this litigation. I mean they are interminable sometimes as you know, even at the trial level there is an appeal. There can be an appeal to the appeal and it can be appealed to a higher court and there can be motions that are granted appeals to motions. We are familiar with all that but on all three in the non-intellectual property, pieces of litigation, where IDT is the plaintiff with no real significant counter claims; it's looking quite good at the present time. That's a forward looking
Steve Brown: Safe harbor
Jim Courter: No doubt about it, but I wanted to get that off of my chest.
Donna Jaegers - Janco Partners: Okay. If -- Jim just besides Tyco, what are the other two losses that you guys are spending on right now?
Jim Courter: It's non-intellectual property, one would be Morgan and the other would be Blackstone.
Donna Jaegers - Janco Partners: Okay, okay. And then on TuYo, is that under other prepaid and if so, it dropped pretty significantly. So, can you comment of all about what's going on there?
Jim Courter: Steve, you'll answer that and I'll get some thoughts.
Steve Brown: Yeah, basically we are disappointed with the results of TuYo. So, it's a business that's being monitored very closely right now. And I think it is part of what Jim wanted to address. Yeah, very specifically, we know about the fraud in the calling card industry, the prepaid calling card industry, we talked about the fact that that's one of the driving reasons, why our margins are narrow the profitability, it's not there, the revenue is going down. It just asked and there are a lot of these operations that are springing up, that are misleading, grossly misleading consumers and consumers asking, 1 million minutes for $2 to Dominican Republic, we'll buy that card and the faith was that. And they are doing all sorts of things to clean it up, I don't want to go into that right now. In TuYo, we're saying basically fraud and what is, and that is really a big issue that we're trying to work around. What is happening that the phone, the phones are great phones, they work well, the rates very good. We obviously need to be competitive or discounting the phones that made to pay let say $70 per phone. We sell the phone $30 at SAM'S CLUB or another outlet and embedded in the phone is the chip that has maybe 100 or 300 minutes of free calls that has presented for people to make a $33 purchase. And the fraud is the fact that there is a large consortium of people that buy these phones, they aggregate the phones, they disassemble the phones or reprogram the phones, they transship the phones to another country and that's why sold at $60 and the chips are sold to a discount on the street. So, fraudulent people are making money by stripping down the phones and we are working around that problem. And it's so significant that at times, we found that in some outlet it's between 50% and 80% of the phones are being stripped and fraudulently sold internationally.
Jim Courter: Just from the P&L point of view, there are two portions of revenue; one the sales of phone, which we obviously sell as discount and then the possible path, which is the rechargeable minutes that they buy, because of what Jim mentioned and because we are trying to deal with that problem, we have not been as aggressive in selling the phones right now and that obviously a big portion of the reason why you see a dip in the revenue until we work the model to figure out how to prevent this happening in the future.
Donna Jaegers - Janco Partners: Understood, and one last question and then I'll turn the floor over to somebody else. On the wholesale business, there has been some speculation that you guys might be looking at maybe trying to monetize that. Can you comment at all on what your plans are for the Wholesale Telecom Business?
Jim Courter: I'll comment not only for wholesale but for IDT and its history. We love building business, and that said if we think we can get a good price for our business, especially if it's a business that doesn’t look like it's a high growth business anymore and the cash flows from selling that business would be better than harvesting that business. And so this has been IDT's business philosophy to continue to monetize. So, if you are asking does that apply to wholesale, I mean it could because wholesale fits that non-high growth business. That said, we do believe in the long-term business, so we wouldn't look to sell it unless we think there is a phenomenal price on the table.
Donna Jaegers - Janco Partners: Okay. Great.
Jim Courter: Just adding to that Donna. The wholesale continues to perform really well. It's on budget; it continues to, you'll see with the Q and the detail in it, the metrics. And we are actually really pleased about it.
Donna Jaegers - Janco Partners: Okay Great. I'll turn over the floor to somebody else. Thanks for taking my question.
Jim Courter: Thanks, Donna.
Operator: Thank you. Our next question comes from Mr. Clay Moran with Stanford Group. Mr. Moran, you may state your question.
Clay Moran - Stanford Group: Thanks. I have a few questions also. Did you mention on the oil business that you were looking to invest $50 million? Did I hear that right?
Jim Courter: Let me jump into that, we have spent when we purchased our 75% interest in EGL, which is a group, its not just one company there are various investors and they have had probably together 120 years of experience in the oil and gas business in the State of Texas. On top of the $2.5 million we’ve put another $1 million for investments in operations et cetera. We anticipate spending over the next few years, an additional $45 million -- $47 million. So we are looking at $50 million. The real question is will that get us to prove to the Governor of Colorado and the President of the Untied States whomever he or she is going to be a few years from now, that we have developed a technology to extract the oil and some gas in a commercially, economical way that has least environmental impact. We believe we are thinking of this thing for a big strategic standpoint. We believe that Americans will come to the realization very quickly that $107 a barrel is soon going to manifest themselves in selling off the car for over $100 and they are going to start looking realistically at the fact that we are exporting almost a $1 billion a day to buy foreign oil. And we in oil shale have three times as much oil as all of Saudi Arabia. So let us buy American, let us produce oil here in this country. It can be done more cheaply, it will help our strategic economic situation and reduced our balance of payment deficit by 50%. We'll spend far less on military operations in the Middle East because the increasing price of oil I think America will turn to the realization that we have trillions of barrels of oil in a different form, right here in America and its time to exploit our own natural resources and in an environmental friendly way. So we think this is the long-term play, but we think its well worth it for IDT, our shareholders and the United States of America.
Steve Brown: Well put Jim, I just wanted to make sure as to clear the $50 million is a budget commitment it’s not a hard commitment. So if anything happens over these few year periods, the impairments, its not worth putting down much money into this we have that flexible, we don't have any commitment. That said, if things pan out as Jim has said we will as and we hope that will and we think they will, then it would be a very wise investment.
Clay Moran - Stanford Group: So that's over say two to three year period the $50 million?
Steve Brown: No, actually the $50 million is over a 10 year horizon. Over the next two to three years we are looking at a commitment of approximately 10 million assuming that the programs continue.
Clay Moran - Stanford Group: Okay, on the "Made in the USA" initiative. Do you have a URL secured for that at this point? And do you have any sense of how you'll market it, how much you will spend on that marketing?
Jim Courter: Its way too preliminary to talk about it. We are not talking about a significantly fresh investment. We have from our internet businesses we have some great marketing geniuses who understand internet marketing. We're going to leverage on that. It's most likely to be a low cost initiative, but some of the research and that's why we got very excited about it, Jim. Some of the early research done by our internet [Goggles] pointed out there is a good market for this. But again it's too preliminary to talk about right now.
Clay Moran - Stanford Group: Okay. Any sense of when you'll have more specifics there or when that will be launched?
Jim Courter: I'll say by the end of our fiscal year.
Clay Moran - Stanford Group: Okay. Since there was an earlier question on selling the wholesale business and your consideration of possibly doing that or if you ever were to consider it, would you sell it without the prepaid business tagging along with it, and if you were would that have a significant impact on the prepared margin?
Steve Brown: Clay that totally depends on at the time what the telecom configuration looks like, who the third party is, because it’s going to be hand in glove. Certain parties will want certain assets to be included with that, others won't, so once that is really a future event, you can't really know about that right now.
Clay Moran - Stanford Group: But do you think that its so, you say it’s hand in glove. The two really do go together though its not there?
Steve Brown: They can go together -- it depends on the need, so exactly.
Clay Moran - Stanford Group: Okay. How about your standpoint though. I mean does the wholesale business really help out your prepaid business as you operated today?
Steve Brown: Again, if we would do a deal to sell the wholesale business and if the retail business is curved out we will have to look at the affect on the retail business as part of course of doing the sales. So, there are just so many variables to talk about and there are so many ways to go, but obviously we look at the whole picture.
Clay Moran - Stanford Group: Right.
Jim Courter: But they are not joined at the hip, it depends on the perspective purchases, what their strengths and weaknesses are and these two transactions could in fact be bifurcated depending on the detail.
Clay Moran - Stanford Group: Okay. One more question, you have several new initiatives on top of what just a couple of years ago, when new initiatives such as the energy and the collections and as such, do you fear all at that you're stretching yourselves to thin?
Jim Courter: Let me start and I will have my colleagues amend my statement. That's something we talked about all the time and basically we look at depth of management and the time that we need to spend about things and also the limited amount of reason although relatively in good shape from my balance sheet standpoint. We are always looking at what type of cash investments we can prudently make. I think you'll see us being very careful. We're not going to start something new for the heck of it because it fits my fancy or have it fancy. We're going to spend sometime researching the opportunity. We'll do due diligence on the company, we may start something new, but I think over time you'll also be finding that as Steve says, when the time comes and if the time is right, something is always worth more to somebody else and is to us. And so, over time we will be a company that we can control and manage. It's not going to be out of control and if we find three or four new businesses next three to five years, probably I'm just guessing, it's another forward-looking statement, we will have sold three or four or five businesses during that same period of time.
Steve Brown: And just to add what Jim has said, management is very focused in the four business lines that we discussed on this call, which whatever everything is going to be an offshoot of existing telecom business, of the energy businesses, of the debt collection business or the internet initiatives. I think we have an excellent management team at the portfolio level at all those four units. And there is infrastructure in all those four units to evaluate what's in those units. We don't have management to start a new unit right now, the amazing opportunity came, we are always entrepreneurial, but right now the focus is within those four units.
Marc Oppenheimer: And the other thing [Clay] you also have to remember the issue of staging. Some of the businesses, our businesses that are about to go into cash flowing mode, others are businesses that won't go into that for a few years and there are other businesses yet that in the portfolio that are never "going to be cash flowing businesses". Those are going to be monetization assets and it's like an air traffic controller. You are going to have planes all at different stages, some on the ground, some on the approach, some in the air, some taking-off.
Clay Moran - Stanford Group: Okay. And, I don't know if you can answer this, but the monetization asset that peaks my interest, can you tell us which ones you would identify as not really cash flow opportunities, but more opportunities to sell as assets down the road?
Steve Brown: You've got as an example in the internet mobile group. You have businesses that historically have been monetized based on number of eyeballs. You can look it as an example it's not that its edge is on the block it's not, we are happy with it. But you can use that as an example that’s the rapid growth that’s had in adding subscribers and you look at the metrics, it's been quite astounding. If you look at the number of '06 the usage were about $3 million.
Clay Moran - Stanford Group: You mention that would grow, is that…
Steve Brown: Yeah but I'm saying as it grows..
Clay Moran - Stanford Group: Okay. I see these things, so these are high growth initiatives that you think would be better some more else and be more valuable to somebody else.
Jim Courter: That's correct.
Clay Moran - Stanford Group: Okay thank you.
Jim Courter: Okay.
Operator: Thank you. Our next question comes from [John Mellow] with Barrington. Mr. Mellow, you may state your question.
John Mellow - with Barrington: Hi guys.
Jim Courter: Hi
John Mellow with Barrington: I was wondering if you could talk a little bit about the $363 million in income taxes payable, what was that in regards to and could any of your deferred income tax assets be used to offset that? Thank you.
Steve Brown: Again we always get questions on these -- understanding income tax exposure is very difficult but it's very detailed, so the first thing, as always we refer you to read our 10-Q and all the language as require under FIN-48. That said if you want to make life simple just take your liability and subtract your asset from it and call that a net tax liability I don't think that would a [dead weight] to go.
John Mellow with Barrington: Okay. And what was the liability of result of operations or was that the result of the monetization of the business or…?
Steve Brown: It's based on past profits of the company.
John Mellow with Barrington: Okay. All right, thank you.
Operator: Thank you. Your next question comes from [Melon Soprano with the Melon Soprano Web Group].
Melon Soprano - Melon Soprano Web Group: Hello. Thank you very much for making yourselves available. I have a couple of questions. My questions are regarding original content for distribution, content with an added entertainment value. IDT has stated publicly that the new Internet Mobile Group division will be responsible for the acquisitions around net and [incubation] of internet and mobile content. You had success with IDW Publishing being able to monetize off some of the intellectual properties like the 30 Day movies (Inaudible). My first question is outside of Zedge, you just appended material, what other steps is IDT taking in the US space to produce additional types of original content, not just comic books but specifically content for an online audience products such as music or ringtones and original TV programming.
Jim Courter: Yeah, one of the great things about creating an online community is that we don't develop the content. We market the opportunity so that community members would go on and offer their content. I think this is the model that has been very successful with YouTube and MySpace and obviously it helps to reduce cost and actually create a [vital] excitement. So, I mean, if you have specific ideas from the business side, you can always contact the executive at Zedge and go on Zedge.net and offer your side of ideas, that’s all part of creating the mobile internet community.
Melon Soprano - Melon Soprano Web Group: Have you studied other models that you in fact developed original programming and doing so create online ad revenue models like [Riteco] have been very successful.
Steve Brown: Yes we have studied. It does require a tremendous amount of cash investment that at the present time - I mean there are two things we don’t want to lose focus of what we are succeeding at and as the communities grow then we will look at other opportunities and what to do with the registrants. But yes we have studied and at the present time we want to work within the existing budget.
Melon Soprano - Melon Soprano Web Group: A follow up question is regarding the Zedge group. You mentioned some numbers I think it was $2 million for quarter loss. There was very little ad revenue is that correct?
Steve Brown: That’s correct.
Melon Soprano - Melon Soprano Web Group: And you also mentioned $1.6 million loss from the Internet Mobile Group. Can you explain that?
Steve Brown: The $2 million Zedge is a standalone business. The $1.6 million is after the -- from the other components such as the IDW Publishing Company which is profitable.
Melon Soprano - Melon Soprano Web Group: And considering that there is very little ad revenue coming in from Zedge, is there room in the budget that it has new business models which might yield great online net revenue more than what is coming in now?
Steve Brown: 100% and the again I would add that; that’s probably my background is from accounting. I am not sure I am the best person to talk about ideas, but if you want to call after the call talking to investor relations I will hook you up with the business people there, I am sure they will love to talk to you.
Melon Soprano - Melon Soprano Web Group: Okay. My next question is, in the previous conference call in Q1, 2008 it was mentioned that IDT would be making strategic investment migrating from a commodity and servicing model to more of an “enabler of technology”. How attractive are the other CDN models such as like Akamai, CashFly CD network are strategic in a sense and is that an example of what you mean by enabler of technology because it seems to go hand-in-hand with these type of Internet Mobile Groups.
Jim Courter: It not just the concept of the Internet Mobile Group Mr. Soprano, it’s also the concept of the margins. If you look at having proprietary IP versus an example of selling a pencil, unless it's a very special pencil your margin is going to be very narrow. Whereas if you've created something, if you hold the patents, if you have proprietary technology or ideas or you are the gatekeeper that enabled people to either communicate deals with each other any variety of median you can charge a greater amount there and just by selling a commodity which it.
Melon Soprano - Melon Soprano Web Group: My next question actually has to deal with the, which you kind of just touched on which is the value of the pencil and whether if that something that people really want, you mentioned -- looking at IDT is more -- you mentioned earlier in the phone calls looking at IDT is more than a telecom company due to the energy emerging businesses. Do you think that IDT will be the first teleconference company ever in the house of wholly owned music production and music publishing licensing company under its umbrella, before the Sprint Records or Verizon Music Group to directly reproduce on pencil mobile flash wireless platforms?
Jim Courter: I don't where they are. I don't know where some of these telecom conference companies are going. You know what we are doing and we are think we are on cutting edge, we have done some interesting things at telecommunications company, Steve Brown was the Chairman of the Board of IDT Entertainment, which we sold for a very nice profit to Liberty Media, so.
Melon Soprano - Melon Soprano Web Group: Because 187, 185?
Steve Brown: Actually I mean, it entertains that for example I can just jump in, that's an example of business that we invested $200 million, we sold close to evaluation of $500 million and it is not because we wanted to sell, we wanted to build it out to $1 million, but somebody was giving us an attractive price at that time, you look the amount of cash investment. So if you look at the history of IDT, yeah, we are a Telecom Company, but if we have a great management team in place, we can build something of great enterprise value. We're going to exploit that team and that business model.
Melon Soprano - Melon Soprano Web Group: I think that's a really great attitude because I have just spoken to -- I approached another company about that concept of producing original content directly to the mobile wireless platform and they said nobody is really dependent there, the record labels, license of content directly through the telecom provider and telecom providers distributed. But there is really no telecom provider at this moment that is producing content directly for the mobile content (inaudible) smart phone that licensing and content estimate as well the artistic value of that pencil.
Jim Courter: Okay. I'm sure our team will love to talk to you. I don't its appropriate really to discuss that on this call.
Melon Soprano - Melon Soprano Web Group: Okay. Let me have a couple of other questions. Are you considering the same demographic and international for the prepaid product in the same growing sector that down loads content in Spanish. What steps is IDT taking to deliver news Spanish content with other several from the (inaudible) market?
Steve Brown: The prepaid, I'm not fully sure, but to add, but in the prepaid calling card business, which we do have a great distribution days that we can sell our product to hundreds of thousands of across the United States. We look across the market unsuccessfully over the years. And basically our -- I'm not saying that we can't do it in the future and if you go back to the entertainment days and we look for products to sell there and the reason the prepaid calling card works because it takes very little shelf space. So, I don't think there is any synergy right now. That said, I do know that a number of the people, who work at the distribution company have been sharing certain ideas with the people at Zedge, but again way too preliminary.
Melon Soprano - Melon Soprano Web Group: Do you have high profile celebrities with their own prepaid calling card that are boosting revenues?
Steve Brown: We tried that a long time in the past and right now we're not using it because the product basically speaks for itself. The consumers are very educated consumers.
Jim Courter: We have tried -- as Steve tried, we tried from families closest to the pope. and it seems like people just buy the stuff as they buy IDT product, because it’s cheap and it works. They don’t – they sell tickets to ball games or spiritual involvement, but they don’t seems to sell calling cards.
Operator: At this time we have run out of time. This concludes the question-and-answer session and today's conference call as well. Thank you for your participation. You may now disconnect.